Véronique Bédague-Hamilius: [Foreign Language] [Interpreted] is in line with our WCR and co-development projects, and this reflects operations that are going to be launched at commitment margins and the current market conditions. Our backlog has no longer fallen since the 30th of September. We're being more selective about our operations, and this means that we're replenishing the backlog with quality operations that are robust. Our operating cash flow is positive, EUR 107 million. It should be noted that even without opportunistic decisions, our operating cash flow would still be positive, plus EUR 54 million for the year 2025. I'd also like to remind you that all of our bond maturities in 2025 have been repaid via proceeds from disposals made in 2024, and our liquidity is EUR 588 million. That's very good, which means that we can meet our medium-term maturities, and we can redeploy with selective and profitable operations. The second message is that we have organized a pickup of COP that's now positive at EUR 25 million as compared to losses of EUR 118 million in 2024. So this is an improvement of plus EUR 140 million over that period. The units that have been launched during the crisis that had to be recalibrated, restructured in 2024 are gradually being phased out. They represented 70% of revenue in 2025, and it will be more balanced in 2026. So those bad years are being absorbed. All of the operations being launched today are at the level of our commitment margins. That's an average of 7%, reflecting our product mix. As you know, we have orchestrated a major drive to reduce costs. These are operational and production costs. In 2024, we launched a major savings plan, EUR 100 million by the end of 2026. So we have already achieved EUR 92 million. Nexity is now at the same size as it was 10 years ago, and the market is comparable to that of 2025. So our structure is fully in keeping with market size today, meaning that we can capture the very best business in terms of margins. There are a number of upsides. In particular, we are rolling out a major performance plan to reduce the production costs of our housing units, and this will gradually have a positive impact as we move into new operations. And more broadly, the production costs of housing units on the market is higher than our potential clients' purchasing power. So we need to constantly challenge our cost structure, and we will continue to do this in 2026. 2025 saw a major increase in profitability of services. Our third message is that we've consolidated our leadership role. We recorded 12,000 reservations, residential reservations over the years. So this confirms our leadership position. Our market share is 13%, up 10 basis points. And this means that we are really a leader for buyers, home buyers, which is a very good market. Our commercial performance is better than the market for all of the segments for the second quarter in a row, and Jean-Claude will come back to this in more detail. New Nexity is completely operational. It's organized in a territorial multiproduct and refocused way, focused around the planning, developer and operator model. The business is much simplified and organized around skills that are integrated into our operations. All the assets that don't come under this scope have had tough decisions taken on them. This new organization means that there will be a new generation of leaders essential for Nexity of the future in the Executive Committee. This is key success and confirms that this organization and this momentum are relevant. In Nantes, for instance, we have a major urban renewal project on a former administrative site on the island in Nantes. And this is mixed development project, 28,000 square meters, derisked financial structure. In Tours, we're developing a whole neighborhood, St. Paul with three buildings, including a 14-story tower and student residence. This will bring in more than EUR 100 million of revenue and EUR 8 million of margin. And for the medium-term perspective, the pipeline currently represents five years of business activity with high-quality potential, 42,000 housing units that have had sales purchase offers for them, 3.5 years, and this potential will be maintained. So by the end of 2025, Nexity is a derisked company ready to move into the new real estate market cycle that's opening up. And I'd like to talk to you about how I see this market. It's true that the real estate cycle is still somber, but there are a number of encouraging signals, which would seem to indicate we're on the dawn of an about turn. Political consensus has changed a lot over the course of the last year. Measures to encourage housing, particularly with new status for private landlords reflects this consensus at national level. The new housing law was difficult to get voted, but it was voted, and there is this new consensus. And then there are municipal elections coming up at the moment. And in Nexity, we're looking at this very closely and housing is a key issue in all large towns. These elections means that we'll be able to have a new development momentum with the new teams in place for whom housing is inevitably very important. So Nexity is the leader. It's agile to respond to this new demand. Regarding bulk sales, we've worked on an offering, which takes on board the changing market and demand for smaller housing units with a focus on climate adaptation. Nexity is a historical recognized partners with more than 100 social housing operators, both regionally and nationally. The second key market is that of homebuyers. We're very careful about the equation of location, price, product and quality to the highest standards. In 2026, we will be supporting the new measures of loan rent, which will bring the personal contribution to -- down from EUR 600 to a more acceptable level between EUR 150 and EUR 500. We draw on historical expertise for these products, these investment products and whatever the status, we are going to have to make sure that buy-to-let investment be at the core because it means that People can use bank borrowing to buy a long-term asset, which will bring new value for them and help to create value in the future. And I will hand over to Jean-Claude.
Jean-Claude Bassien Capsa: [Interpreted] Good evening, everybody. I'd like to talk about the business activity in 2025. The slide you see here shows the indicators of business activity. I will go through this in some detail. So commercial offer is well suited to the market. It's high quality, and this is key for derisking Nexity. Particularly, we don't have any completed unit stock, and this shows that we've managed the portfolio in a cautious and effective way. 90% of the units that are available are positioned in areas where there's high demand. These are the A, Abis, and B1 areas. This is up 15% points rather compared to 2022 and 17% for those where demand is higher. This reflects good alignment and concentration of demand on the market. Regarding reservations, we have more than 12,000 that were recorded over the year. Nexity is outperforming the market on all market areas in the second quarter in the row. And our market share is slightly up 13%. The volumes are down 10%, but the national market, as Veronique said, is well down 11%. But as far as we're concerned, we notice continuous improvement quarter-by-quarter. Regarding retail sales, two factors. First of all, private investors are not as present because the Pinel scheme was wound up at the end of 2024, but strong momentum for home buyers, up 19% on 2025 with 2,600 units reserved. Regarding bulk sales, as expected, we're seeing that there's been a good pickup in H2 and particularly Q4 with 3,800 units. That's 15% of the bulk sales for the year as a whole in the last quarter. And this confirms the message that we reiterate over and over. There is a seasonal trend for bulk sales, and this shows that. Bulk represented 7,450 units for Nexity. Now if we now focus on the sustained momentum of home buyers, it's up 19% over the year, 2,600 reservations. That's significant in volume. We're back to the precrisis level. Good momentum for commercial units with 100 commercial projects launched for retail sales since the beginning of the year, very targeted and attractive operations. And finally, we are present in areas where there's high demand and low offer, which are eligible to VAT at 5.5% and our capacity to have offerings with good attractive solutions for zero loan schemes, zero-rate loan scheme. And this is all part of our Loan = Rent scheme approach as well. So 14,000 building permits were obtained in 2025. Now looking at the commercial mix, two points. continued good momentum for homebuyers, 21% for reservations, the total. That's up 5 basis points in 2024, and of course, bulk sales, which are more than 60% of the total. Looking at service properties, student hospitals and co-working spaces displayed solid indicators for or Studea, the momentum is driven on the one hand by the growth of the fleet with the opening of four new student residences over the year with service properties of over 17,000 units in 54 cities and record occupancy at 98%. For co-working activities, we continue to see very high occupancies compared to the market at 83% with constant emphasis on improving profitability as opposed to chasing after volume. And finally, on distribution activities, which we recall were very much oriented investor-driven until 2024. reservations are up plus 9% in a private investor market that is down without the P&L, reflecting the agility and the ability of our teams to reposition themselves on other products for distribution. Finally, looking at the pipeline at the end of 2025, this represents five years of business in hand, quality potential of 42,000 housing units that are signed for, namely 3.5 years of revenue, 83% of the potential is in high demand areas, Abis, A and B1. This potential is committed through our commitment committees commensurate with our target of 7%. The backlog accounts for 1.5 years of business in hand. It is stable compared to Q3 and secured to the tune of 48%. We continue to seek selective replenishment of the backlog in order to go towards the margin rate target of 7%. I'll now hand over to Pierre Henry, who will give you the details of our financial performance.
Pierre Pouchelon: [Interpreted] Thank you very much, Jean-Claude. Good evening, everyone. First slide here goes over our main -- our key figures that I will go through one by one in the presentation. Let's start off with revenue. New Nexity revenue stands at EUR 2.7 billion, EUR 2.8 billion for the group revenue, down 14% on a like-for-like basis, impacted as expected by the decline in revenue of service -- commercial property of 87%, namely due to the delivery of the major projects in 2024, for example, La Garenne and Colombes. Residential housing accounts for 83% of revenue of the group, down slightly by 5% due to the decline of business since 2022. On service, services, the revenue of service properties is up 9%, mainly due to the pickup of the fleet and very strong occupancy. Distribution until 2024 involved distribution mainly of P&L investment products and had to be repositioned on smaller investments such as student residences in 2025. Now looking at the operating income for the year. what you see here is the return to operating profitability of New Nexity. This is a key point. First of all, the most important thing is for the core activity of the group, restructuring of the margin in residential properties with the launching of new transactions in 2024, which are consistent with target margins and take into account the cost of the works and the production costs in the market in 2025. The second driver is the improvement of the profitability of services with a 13% margin on service properties and a return to equilibrium in the distribution business. The current operating income for New Nexity comes out at EUR 25 million, an improvement of EUR 143 million versus 2024, of which EUR 120 million on the planning and development model that we explained earlier. Current operating income for service properties is up plus EUR 15 million at EUR 38 million, driven mainly by service properties with a margin of close to 13%, which is due to the high level performance on Studea, very high occupancy and a decline in cost distribution is back to breakeven. Net income for 2025 includes a nonrecurring negative result of minus EUR 128 million, reflecting the bookkeeping of the determined action taken over the financial year, seeking to deleverage the balance sheet. Breaks down into three main categories: nonrecurring costs due to the finalization of the disposal plan over the management business and the opportunistic approach, mainly on commercial property in an office -- commercial property market that has significantly declined, in particular, in the Paris region. Cost due to -- arising from the discontinuing of transactions, which were our own decision. Finally, reorganization, and we are looking at deleveraging the group by -- in 2025. WCR came out at EUR 606 million at end 2025, down by almost 30%, minus EUR 226 million on end 2024. The WCR of the Planning act and -- the Residential Planning and Development act business is up EUR 161 million due to the continued cost cutting, greater selectivity in purchasing of land, optimization of the time lines between acquiring land and the first funding commitments. And the decline of EUR 17 million internationally is due to the delivery of the [ Plana resi ] project in Italy. Now on the net debt stood at EUR 278 million before accounting for the increased stake in Angelotti. So meaning down EUR 52 million. This accounts for a decline of 16% on 2024. Net financial debt stood at EUR 328 million, well below guidance, which stood at a maximum of EUR 380 million. As said before, continued deleveraging has been enabled through positive cash flow with a return to profitability continued optimization of the WCR and our investment, our disposals mainly on commercial properties and proper control over our financial costs. The structure of financial debt reflects, first and foremost, gross debt of EUR 914 million, down 17% over one year by EUR 182 million, down 40% over two years. And this has a favorable impact on the cost of debt, which comes out at 2.8%, down 40 basis points. We talked about the debt ratio that came out at 4.9x, ahead of the trajectory of the covenant. Liquidity after redemptions of EUR 321 million in bond maturities in the first half came out at EUR 588 million. And on the right-hand side of the chart, we have the average maturity of our long-term debt. We have given you on this slide, the trajectory of the banking covenant in order to give you a full visibility on our progress on the debt ratio end of 2025. I'll hand over to Veronique.
Véronique Bédague-Hamilius: [Interpreted] Thank you very much. To conclude, 2025 was a year of continued deleveraging and of recovery in our operating profitability. As a systemic actor and market leader, we have taken stock of market developments, not only from a cyclical standpoint, but also structural. And we have not waited for the cyclical recovery, but we have launched a deep restructuring of the group. The balance sheet is now in a clearly deleverage financial situation. And management has also prepared and organized the group for structural adjustments in the market, and we are now able to capture all profitable growth opportunities. Through this financial -- this financially more healthy situation and our capacity to exploit a return to growth, we are now at a time where the potential for value creation for Nexity shareholders seems significant, and the group's management is extremely committed to this value creation process. The trajectory of our financial leverage remains a priority. We have proved this in 2025 by getting below a leverage ratio of 5x, well ahead of covenants, and we will continue this in 2026 with the goal being as soon as possible and no later than '27 to achieve a leverage ratio below 3.5x. We will, therefore, continue our financial discipline on net debt, in particular, combined with the gradual increase in EBITDA, notwithstanding a top line momentum, which will still remain under some constraints in 2026. And finally, to conclude, I'd like to share with you our guidance points. We are aiming for improved operating profitability with a return on capital of New Nexity up as well as continued decline in the leverage ratio back to less than 3.5x at latest 2027. Before answering your questions, I would like on a more personal note to thank Jean-Claude, who has been with me for the past seven years and who has decided, as you've seen in our press release, to resign with effect from the next General Meeting. Jean-Claude will continue to accompany me in the transition until then. Jean-Claude has done a remarkable job in implementing the transformation of the group. He has supervised our financial trajectory and has contributed to preparing us for the new real estate cycle. The [ co-MACs ] and myself would like to say how grateful we are to him and to emphasize that he has made a decisive contribution to building the New Nexity. I'm ready to answer. We're ready to answer your question.
Unknown Analyst: [Interpreted] Good evening. Congratulations for the current operating income result. That's EUR 160 million up compared to last year despite the decline in sales. I've got three questions, if I may. The first question is, could you go back and explain how you deal -- dealt with the difficult years, the stocks from the difficult years. And what's going to be the share of bulk sales in 2026? The second question relates to the noncurrent income. Pierre Henry, you've explained this a little bit, but I'd like to have more information on this. And then the status of private landlord. If we look at this in some detail, it only really pay off for about 20% of households, but not for the others. Do you think that this will really help to support the real estate development market in France?
Pierre Pouchelon: [Interpreted] I think it's by him who's asking the questions if we didn't hear you announce your name, but I think I recognize you. Regarding the previous years where we had to restructure, we did that in 2024. We had to adjust to the previous cycle to sales prices at the moment. These were operations that were launched before 2024. And those years still represent about 70% of margin and revenue. It will be more balanced in 2026. That's the percentage to completion method that we're using. The ones that have been started up, that's buying the divisions, negotiating or starting the building. So all of this is contributing increasingly to the margins in 2024, 2025 and 2026 and will account for the majority in 2027 when we will have cleared finally, the previous cycle. Regarding bulk sales in 2026, we always said that we have a medium-term vision. We don't think that the mix is going to be that different from the previous two years. So as Jean-Claude showed you, about 60% of our sales bulk, and 40% retail. The noncurrent income, there are a number of categories here. First of all, you've got the capital losses. We've wrapped up some management activities. So now we're focusing on operational and distribution. We don't have management anymore. We've got a small subsidiary of property management, but that was -- disposal took place in 2025. So that's been wound up. And then we've got balance sheet risks. So we have disposed of some operations that were underway. We got offers for those. This is mainly commercial business. And in some cases, we've discontinued operations. That was our decision. Our idea was to have a mix of bulk and retail, but the social housing operators backed out, and we didn't want to move more towards the retail market because it's a very tight market at the moment. set for homebuyers. And then there's a reorganization costs. And this relates in 2025, mainly to the winding up of transformation of Nexity with an approach of really having a mapping of the geography, identifying target markets, and we had to take tough decisions about whether to keep our brands, the Edouard Denis brand, for instance, in some geographies, we decided to discontinue that in some areas and move everything to Nexity. These decisions were taken with a special agreement where we had to redundancy agreement for 120 employees.
Véronique Bédague-Hamilius: [Interpreted] Regarding the private landlord status, so this is something that one could discuss at great length as compared to the P&L scheme. I think that it does have some potential. You can make more savings, the higher your marginal tax rate, obviously. But it's still got a lot of potential for many households because it generates a real incentive. We can see our clients are showing interest. Real estate investment is not just driven by tax incentives, although that's significant in the decision, but deciding to invest in property is also to generate some income. And when people retire, they often think of doing that. It's the only way to set up capital by borrowing, and it's also something you can pass on to your children. And it's a kind of life insurance policy. If something happens to you, well, you've invested in real estate, in property, and that is then handed on to your children, grandchildren. I don't think it's going to have the same impact as the P&L scheme, but it will have a significant impact. And that will begin to pan out around June and July because the banks who are the main sources that distribute to this will have to get themselves organized. But don't underestimate the value of this scheme.
Jean-Claude Bassien Capsa: [Interpreted] I see a written question from [ Cristian Rastasanu ], which relates to the reservation trajectory. And it mentions the fact that at the beginning of 2024, our objective was 14,000 units, and now it's 12,000 units. Do we have additional adaptation measures planned for Nexity given that trajectory and also the whole issue of the momentum on the market, which we mentioned at the beginning of these presentations. Going back to the past, don't forget where we've come from. In March 2024, most people on the market thought that we were coming up for a rebound. And everybody on the market got repositioned with that in mind. But actually, macroeconomic events had -- and political events, you're right, had a major impact on that trajectory. We bore the brunt of that as did everybody else on the market. But we did have a cost reduction drive and we stepped it up. And as Pierre Henry has just said, we put in place a streamlining drive for our brands, and this led to a reduction in our business scope, particularly for Ecuador. Regarding the outlook, I think we need to be perfectly clear on this. Veronique has made it clear at the beginning. There are some encouraging signs, but these don't show that the market is growing yet. What we see is that there's growing awareness at a political level that housing is a major issue. And this is across the board. And this has given rise to concrete results at a political level, which will bear fruit, but that will take time. And that's the first point. And the second point is that I think you can all see that the municipal elections in France which will take place in March are driven to a very large extent by concerns about housing, and this is bound to have an impact post elections with the new teams in place. Is our size in line with these developments? Pierre Henry said, we're back to the size we had 10 years ago in terms of headcount and units. All of this is more or less in keeping with the situation 10 years ago. So we are in line with the new market situation. As Veronique said, we undertake to take all necessary measures to be able to have complete control of our cost trajectory. We need to do that. We have to be -- have that discipline because the market is that households do not have sufficient purchasing power to buy housing or to rent housing. And so we're going to have to face cost reductions.
Pierre Pouchelon: [Interpreted] We have further questions. Maybe I'll try and answer those. We have one here about the minus EUR 130 million for service properties. On the opportunistic decisions on the equity method, we have one project impairment under the 2025 consolidated financial statements because we -- on commercial property projects, we do not want to have WCR at risk, and we have a partner here, and we have aligned on that, and we have reflected this in our 2025 financial statements and this will be disposed of in 2026. On the trend in reservations, but as Jean-Claude has recalled, and I think for the first quarter means nothing for a developer. This has to be emphasized. And regarding retail sales is stable on last year. For bulk sales, it's too early to make a forecast because, as you know, there are very strong seasonal effects, and we will look at this again in April when we release our results, but we're in line with what we did in 2025 at this point. And on clarification of guidance, well, clearly, we're looking at an improvement in improved profitability, improved margins, in particular in residential property because that's where the margins have to improve. Revenue will decline in 2026 because this is a mechanical effect due to the decline in reservations. And the turning point will probably be in 2027. So this guidance means that we are focusing on improved operating profitability, in particular for our core businesses and the development margin and together with a decline in the debt ratio to get to the 3.5x debt ratio as soon as possible, and we are on a positive trend there. Next question from Christophe Chaput from ODDO. you may go ahead.
Christophe Chaput: [Interpreted] I hope you can hear me well. First of all, I'd like to go return to the disposal of assets in Slide 25. you were talking about EUR 54 million. Just to be clear, the sound is very poor as the interpreter. Looking at operating cash flow, EUR 107 million. This includes the minus EUR 54 million further to the disposal. And we see this in the WCR in -- on Page 26. Well, in the EUR 107 million without including the EUR 54 million arising from the disposal at the end of the year. So put otherwise, as Veronique said, restating the investments, the cash flow stands at EUR 57 million. That's right. Okay. Looking at the guidance, you have been speaking in 2026, the decline in the debt ratio. But what about the debt level? Is this going to continue declining the actual mass of the debt load?
Pierre Pouchelon: [Interpreted] Well, Christophe, at present, what we're talking about, and this is the message from this release, is that we feel that we deleverage the balance sheet and deleverage Nexity. As you -- so our track record over the past two years means that we are going to be using -- having very strict discipline on net debt, but that's no longer the main topic. What we're looking now is the improved return on capital, improved EBITDA. And over the past two years, we have significantly deleveraged the WCR in residential property and we are now achieving satisfactory WCR and cash flow generation. Nexity now means involved EBITDA and improved EBITDA means improved profitability in residential properties. So we're focused on that. This means ironed financial discipline. And the key point now is generating cash flow and improving operating profitability in our core business, namely in development and planning.
Christophe Chaput: [Interpreted] And on improved profitability, the sound is very poor, as the interpret. Cost savings, when can we expect a return to the 7% operating margin?
Pierre Pouchelon: [Interpreted] Well, in 2027, 2028, are very much dependent on our capacity to roll out these new transactions in 2026. And the local election are going to be very important for us because we have many projects where we are going to be aggressive, but we're going to be even more aggressive at 23rd of March of this year.
Christophe Chaput: [Interpreted] And just an update perhaps on the Carrefour transaction, if I may ask you about that.
Pierre Pouchelon: [Interpreted] The Carrefour transaction, we're still looking at three planning permission requests, which we haven't had yet. This -- we still have to wait until after the council elections and 10 planning positions to be submitted in 2026. So significant step-up on all of this after the local elections and Carrefour is very much part of that focus post local elections. And in the forecast for Nexity, both in potential and in backlog, I must clarify that there is nothing at present regarding Carrefour, just to be very clear on that. Since there's no land permit granted, this has no impact on the backlog, and it should be the same in 2026.
Véronique Bédague-Hamilius: [Interpreted] There are no further questions. Apparently not. If not, then thank you all very much indeed, and have a good evening. Goodbye. [Statements in English on this transcript were spoken by an interpreter present on the live call.]